Operator: Hello, and welcome to the FirstEnergy Corp. Third Quarter 2025 Earnings Conference Call. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Karen Sagot, Vice President of Investor Relations. Please go ahead, Karen.
Karen Sagot: Thank you. Good morning, everyone, and welcome to FirstEnergy's Third Quarter 2025 Earnings Review. Our earnings release, presentation slides, and related financial information are available on our website at firstenergycorp.com/ir. Today's discussion will include the use of non-GAAP financial measures and forward-looking statements, which are subject to risks and uncertainties. Factors discussed in our earnings news release during today's conference call and in our SEC filings could cause our actual results to differ materially from these forward-looking statements. The appendix of today's presentation includes supplemental information, along with the reconciliation of non-GAAP financial measures. Please read our cautionary statement and discussion of non-GAAP financial measures on Slides 2 and 3 of the presentation. Our Chair, President and Chief Executive Officer, Brian Tierney, will lead our call today. He will be joined by Jon Taylor, our Senior Vice President and Chief Financial Officer. They will discuss the team's continued strong execution and performance on key financial metrics as well as our bright outlook and positive momentum as we close the year. Topics include raising our full year 2025 guidance midpoint and narrowing the range, increasing our 2025 capital plan, our expectations for incremental investment opportunities, and our progress and time frame on regulatory activities. Now it's my pleasure to turn the call over to Brian.
Brian Tierney: Thank you, Karen. Good morning, everyone. Thank you for joining us today and for your interest in FirstEnergy. We are having a great year with strong results across all of our key financial metrics. Yesterday, we reported third quarter GAAP earnings of $0.76 per share compared to $0.73 in the third quarter last year. Core earnings were $0.83 per share for the quarter compared to $0.76 in the third quarter of 2024. For the year-to-date period, our core earnings were $2.02 per share compared to $1.76 in 2024, an increase of 15%. Our results benefited from strong execution of our customer-focused investment plan, Pennsylvania base rates that went into effect in January and strong financial discipline. Through the first 9 months of 2025, we invested $4 billion of capital in our regulated utilities. This is a 30% increase compared to last year. We are pleased to be in a position to put even more resources into system reliability and resiliency for our customers. Today, we are announcing a 10% increase to our 2025 capital investment program to $5.5 billion. With our strong year-to-date results, we are raising our 2025 guidance midpoint and narrowing our range to $2.50 to $2.56 per share. We remain positive about the opportunities ahead. We are reaffirming our core earnings compounded annual growth rate of 6% to 8%. And early next year, we expect to roll out a higher CapEx plan for the 2026 through 2030 planning period. Turning to Slide 6. Load growth from data centers continues to transform our industry. FirstEnergy service territory, expertise, and assets are ideally positioned to support the remarkable demand growth and economic opportunity within and adjacent to our footprint. Within our operational area, data center interest remains high. Our long-term pipeline of demand, which includes interconnection requests from serious and reputable customers has nearly doubled since our fourth quarter earnings call in February. Our contracted customer demand increased by over 30% during the same period. The impact of this demand will be tremendous. Based on data center customers who are contracted or in our pipeline, we expect FirstEnergy's system peak load to increase 15 gigawatts or nearly 50% from 33.5 gigawatts this year to 48.5 gigawatts in 2035. Across PJM, peak load projections are forecasted to increase by nearly 48 gigawatts by 2035 or 30% of the current peak load of 162 gigawatts. FirstEnergy is uniquely situated to support this growing demand through customer-focused investments, specifically in our transmission system. This system is located in the heart of PJM, interconnecting with a broad number of neighboring utilities and encompassing strategic high-voltage corridors that are a vital part of the transmission grid. Turning to Slide 7. Earlier this month, we submitted our integrated resource plan in West Virginia that lays out our recommendations to keep power affordable, accessible, and reliable over the next decade. The IRP indicates a capacity need in West Virginia beginning in 2027. Our preferred plan provides the flexibility to adapt to the rapidly changing energy landscape while delivering reliable and cost-effective energy to West Virginia homes and businesses. Key aspects of the plan include adding 70 megawatts of utility scale solar in 2028, adding 1.2 gigawatts of dispatchable gas combined cycle generation around 2031, keeping our Fort Martin and Harrison coal plants operational through the planning period and using short-term power purchases to bridge the gap until new resources are online. The proposed gas and solar investments are aligned with Governor Morrisey's 50 by 50 initiative, which aims to boost West Virginia's energy capacity to 50 gigawatts by 2050. We are pleased to pursue generation projects in a state with strong executive, legislative, and regulatory support. To provide the best outcomes for West Virginians, we plan to issue a build-to-own transfer RFP for up to the full 1.2 gigawatts of natural gas resources. We are also evaluating building a portion or the entirety of this generation on our own. In the first quarter of 2026, we plan to file with the Public Service Commission seeking approval of the new gas generation. The proposed assets represent a 35% increase to our current regulated generation portfolio. This is an exciting opportunity for FirstEnergy, and we are pleased to support customer needs and economic growth in West Virginia. Turning to Slide 8. As I mentioned earlier, our transmission system will require significant incremental investments to ensure reliable electric service. At our stand-alone transmission and integrated segments, we need to ensure our critical infrastructure is resilient and reliable, especially as demand is projected to increase in the region. This includes investments to replace aging infrastructure, improve system performance, and increase operational flexibility. We are also participating in regional network upgrades, which are the investments awarded through PJM's RTEP open window process. This includes required system upgrades and improvements to address reliability, security, and load demands of the bulk electric system. Over the last few years, we have been awarded $4 billion of capital investments through the PJM open window process. We recently submitted proposals of capital investments through the 2025 open window to support increasing demand in Ohio, Pennsylvania, and Virginia. These proposed investments include several new and upgraded substations and high-voltage lines needed to support the increasing customer demand. The PJM Board is expected to award transmission projects in this open window by the first quarter of 2026. Any projects awarded to FirstEnergy in this open window will be included in our new 5-year plan. We now expect transmission investments included in the 2026 to 2030 capital plan to increase by 30% versus our current 5-year plan. This includes increases from reliability enhancements and regulatory required investments to improve the overall health and performance of our most critical assets on the system and to address growing demand and changes in generation in the region. Our company-wide transmission assets are a terrific growth engine. Our investments are expected to result in a compound transmission rate base growth of up to 18% per year through 2030. This means total transmission rate base would more than double through the planning period. On the generation side, we have a significant incremental investment opportunity associated with adding the 1.2 gigawatts of natural gas generation in West Virginia by 2031. This project at an initial estimate of $2.5 billion will be included in our long-term plan after we receive regulatory approval. Moving to Slide 9. We're in a strong position to make all of these investments that benefit our customers while keeping affordability a top priority. Today, our bills are on average 2.5% of our customers' share of wallet and on average, are 19% below our in-state peers. Even with an increasing investment plan, we will be below our in-state peers for the foreseeable future. However, we recognize that affordability is top of mind for our customers and that, on average, electric bills have increased 11% for our customers in our four deregulated states over the last year. As we drill into this, the generation component of the bill is driving 85% of this increase. This type of increase is not sustainable and needs to be addressed with new dispatchable generation. In that regard, we are advocating on behalf of our customers and working with state leadership in our deregulated states on how they can take the lead to drive meaningful change and attract new generation. It's a different story in West Virginia, our one traditionally integrated state. Total customer bills remain flat from 2024 to 2025, and the state is taking proactive steps through its IRP process and 50 by 50 program to maintain and expand its generating capacity. We are also working to protect current customers as demand increases from data center developers. This includes utilizing volumetric commitments and customer credit support as needed. Our approach leverages the balance sheet of the data center developers to protect existing customers. Turning to Slide 10. We are on track to have a successful year and look forward to a strong finish. Our updated earnings guidance of $2.50 to $2.56 per share is in the upper half of our original range. We are reaffirming our 6% to 8% core earnings CAGR through 2029. We are on pace to execute our 2025 to 2029 capital investment plan. And looking ahead, we see significant increase in our next 5-year investment plan. Most of this growth will come from high-quality transmission investments backed by forward-looking rates with constructive ROEs. We're also excited about new opportunities to invest in generation in a state that is supportive of these efforts. Our value proposition remains strong, encompassing robust growth, consistent financial discipline, and attractive risk profile and a 10% to 12% total shareholder return opportunity with upside potential. We are on course, and we are committed to achieving our goals and realizing our bright future as a premier electric company. Now I'll turn the call over to Jon. Jon?
K. Taylor: Thanks, Brian, and good morning, everyone. We had another strong quarter and continue to make excellent progress this year. We delivered on each of our key financial metrics, including core earnings, capital investments, base O&M and cash from operations. You can review more details about our results, including reconciliations for core earnings and business segment drivers in the strategic and financial highlights presentation posted to our IR website yesterday afternoon. We delivered third quarter core earnings of $0.83 per share, a 9% increase versus 2024. This improvement was largely a result of new distribution base rates in Pennsylvania that went into effect earlier this year and total transmission rate base growth of 11%, including 9% for our ownership in stand-alone transmission rate base and 16% in transmission rate base within our integrated business. Additionally, as a result of our strong performance this year, especially with our controllable operating expenses, we were able to move a modest amount of maintenance work into the third quarter from future years, which gives us flexibility within our plan. Through the first 9 months of the year, core earnings improved to $2.02 per share, a 15% increase from the first 9 months of 2024. Again, our strong year-to-date results largely reflect the execution of our regulated strategies, stronger customer demand, and transmission rate base growth. I want to take just a second to highlight the financial performance and growth in each of our regulated businesses. In our distribution business, the $0.20 improvement in year-to-date earnings is a result of the $225 million annual rate adjustment in Pennsylvania that supports the capital investments and operating expenses we are deploying back into that business as well as higher customer demand and lower operating expenses as we execute on continuous improvement initiatives. In our Integrated segment, earnings improved $0.05 per share or 7% for the year-to-date period, resulting primarily from formula rate investments in the transmission system in New Jersey, West Virginia, and Maryland and higher customer demand, partially offset by higher depreciation. And finally, in our stand-alone transmission business, earnings increased approximately 7%, resulting from our strong capital investment program, delivering owned rate base growth of 9%, which was partially offset by the impact of new debt at FET Holding Company and the full year dilution impact of the FET minority interest sale. As you can see, our performance year-to-date at our regulated businesses is a testament to the execution on our regulated strategies, the constructive rate designs we have in each of our businesses, our strong customer-focused investment programs and a focus on financial discipline. Through the first 9 months of 2025, sales were 1% higher than last year and essentially flat on a weather-adjusted basis. For our industrial class, based on ramp-up schedules of some of our data center customers, we expect to see more meaningful increases in industrial load beginning in Q4 and into next year. As Brian mentioned, through September, we deployed $4 billion of customer-focused investments, which is a 30% increase as compared to the same period of 2024. The majority of this increase was associated with transmission capital, both at our stand-alone transmission and integrated businesses, which in total was $1.9 billion of CapEx through the first 9 months of the year, representing a 35% increase as compared to 2024. For 2025, we are increasing our planned investments from $5 billion to $5.5 billion. Over half of the increase is in transmission CapEx with the remaining on the distribution system, largely reflecting reliability and storm restoration investments. The team continues to do a nice job ensuring that our capital investments are targeted at improving reliability and the customer experience. Additionally, even though our CapEx programs have increased significantly over the past few years, we have strong confidence in our ability to deliver, if not exceed these plans, given our capital planning process, which is based on known and specific projects with resiliency built into the portfolio and our broad and deep relationships with our vendors and suppliers. For O&M, we continue to track better than planned and largely in line with last year despite executing additional maintenance work this year that will enhance reliability and give us flexibility as we finish this year and look to 2026. Our financial performance resulted in a consolidated return on equity of 10.1% on a trailing 12-month basis, which is slightly above our targeted ROE of 9.5% to 10% and represents a 70 basis point improvement from our 2024 consolidated return of 9.4%. Through September 30, to support our capital investments of $4 billion, cash from operations was $2.6 billion, which is better than our internal plan and an increase of more than $700 million as compared to 2024. And we successfully completed our 2025 financing plan with eight subsidiary debt transactions totaling nearly $3.5 billion at an average coupon of 4.8%, including a $450 million transaction at FirstEnergy Transmission and a $1.35 billion financing at JCP&L in the third quarter. Including the successful $2.5 billion FE Corp. convertible debt offering in June, our 2025 capital markets program encompassed close to $6 billion of debt financing, all significantly oversubscribed at a weighted average rate of 4.4%, demonstrating the attractive credit profile of our utilities and business mix. And finally, to close out my updates, we do expect an order in the Ohio base rate case in November. As soon as practical after that, we plan to file a multiyear rate plan to ensure timely recovery of the important investments needed in the state. We are very pleased with our progress as we close out 2025. As I mentioned earlier, we are ahead of plan on all of our key financial metrics and look to carry this momentum in the final months of this year and as we begin 2026. In closing, the team is extremely focused on the value proposition that we offer to shareholders. We are focused on delivering enhanced customer experience through strong customer-focused investments, which in turn will allow us to provide solid risk-adjusted returns to our investors. The future is bright for FirstEnergy, whether it be industry-leading transmission investment opportunities significant reliability investments in the distribution system or the build-out of regulated generation in a supportive state like West Virginia, we have a strong business plan and the right team to execute. We are committed to continuing our positive momentum and delivering value for our shareholders. Thank you for your time. Now let's open the call to Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Nick Campanella with Barclays.
Nicholas Campanella: I was just wondering on the West Virginia generation, you kind of talked about build and transfer versus self-build. Can you maybe kind of talk about how you've recovered the capital in either scenario and how we should kind of think about the impact to earnings '28 through 2031. And I guess if you're just kind of thinking about a build and transfer for 2031, is there really no earnings attribution until then? Or could there be milestone payments? Maybe you can kind of expand on that.
Brian Tierney: Yes. So the build-own transfer, I think, is fairly straightforward. On the we build it side, we, of course, would file for CWIP during construction. And so we'd expect at least the recovery of that, if not the earnings component during the pendency of construction. But the real significant earnings component for that will come after the assets online.
Nicholas Campanella: Yes. Okay. And then just maybe how you're thinking about rate case strategy for '26, mostly asking on Maryland, West Virginia, New Jersey, where the ROEs are trending a little lower than authorized?
K. Taylor: Nick, it's Jon. Yes. So I think as we look to '26 and beyond, if you look back to the cadence that we went through, when we first started filing cases a few years ago, we started with Maryland, New Jersey, West Virginia. We'll start to look at that kind of cadence as we move into 2026. Obviously, it's going to be important for our utilities to earn close to their allowed returns. And so as they're deploying capital, we need to make sure that we get timely recovery through increases in base rates.
Operator: The next question comes from the line of David Arcaro with Morgan Stanley.
David Arcaro: I was wondering just any thoughts you could give on as you're talking about these increased CapEx opportunities from both transmission and potentially on West Virginia generation. How does that impact the earnings growth outlook and the range that you've got as you consider out closer to the end of the decade?
Brian Tierney: Yes. David, we think of it as firming up the ability for us to be in that 6% to 8% earnings per share range over the planning period. People don't traditionally think of utilities as growth investments. But as we look at the opportunity to invest in our system, increasing CapEx over the period, it gives us real confidence that we'll solidly be in that 6% to 8% earnings per share growth range.
David Arcaro: Okay. Got it. And then I guess looking at the data center pipeline, I was wondering if you could refresh us on just the activity seems to continue to be very strong. And as you see more gigawatts maybe come in and firm up, I guess, is there a way to give any rule of thumb for how much increased transmission CapEx you could see going forward, like on a per gigawatt basis? I think you've given that rule of thumb in the past, but the CapEx that you're adding to the plan here seems to be quite a bit stronger. So just wondering your current thoughts on as more and more data center activity continues to come to your service territory, what that could mean going forward?
K. Taylor: Yes. David, it's Jon. So in total, right now, as we look at what's contracted and just our transmission CapEx program in total, I think you could say there's probably easily $1 billion of CapEx associated with transmission interconnection requests, whether that be direct connection projects or network upgrades to support large loads. So that's what we see now based on the contracted and active large load customers that we have. But I think that will vary as we move into the future. And we've seen a wide range of capital deployment based on interconnection request depending on the location and the size.
Operator: The next question comes from the line of Carly Davenport with Goldman Sachs.
Carly Davenport: Maybe just a quick follow-up on the transmission CapEx point. Just as you continue to raise sort of the upside opportunity there now at 30% this quarter. I guess, can you talk a little bit about kind of what's giving you the confidence to do that? And ultimately, if we should be thinking about that as a floor looking into the 4Q update or if there's potential for further upside there?
Brian Tierney: Yes. I think the upside that we mentioned that 30% for the next 5-year plan is what we feel comfortable with at this point. And again, we're going to come out with that full CapEx plan early in '26, but I think that's what we would guide to be the number right now. As we think about that and where we're spending the transmission CapEx, about 60% of it is associated with reliability enhancements, upgrade health of system, replacing aging reliability type investments. And the 40% of it is what we call regulatory required. That's transmission interconnection requests and things like the PJM open windows. So we have some pretty good insight into where we're spending those dollars and what the increase will look like for the next 5-year plan. So I'd expect it to be very, very close to that number.
Carly Davenport: Great. Okay. That's really helpful. And then maybe just on the data center pipeline. I appreciate all the updates on that front. I guess just as we think about that contracted bucket, are you able to share how much of what is contracted is under an ESA versus another type of contractual agreement?
Brian Tierney: Yes. So that's a great question. Thank you, Carly. The ESA is usually the last thing that happens before power starts flowing. So that happens very late in the process traditionally. But making sure that they're contracted to either build the facilities that are needed to happen, that we put in place the credit support that they're going to need to make sure that they show up and take what we're spending. Those type of things happen earlier in the process. So we feel really confident once we have put them in that contracted category that they're going to show up even if we don't yet have an ESA signed.
Operator: The next question comes from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet: You touched on in your comments, I guess, the bill increases and the impact generation has had on that. And I was just wondering if you could expand a bit more there, I guess, on the appetite to build new generation elsewhere across PJM, if there is the proper underpinnings to it? And how do conversations look on that? And anything new to report there?
Brian Tierney: Yes. So nothing new to report there, Jeremy. I mean, the place where we have a clear window, a supportive governor commission and legislature is in West Virginia. And so that's how we're able to move forward so quickly with those plans. The idea that we'd be building in any of the other states on a long-term basis would really just be speculative at this point.
Jeremy Tonet: Got it. Understood. And turning to Ohio. I was just wondering if you could expand any more there on the backdrop and talking about filing as soon as practical there, what that could look like?
Brian Tierney: Yes. So we expect the order on the base rate case during the fourth quarter. And we need to get that to see what the treatment of various aspects are in that base rate case. But given that we've been making investments in the state and want to continue making investments in that state since that test year, which ended in May of '24, we're going to have to go in right away given that we don't have trackers and riders in the state anymore. And so given the forward-looking nature of the multiyear rate plan, we think that's the perfect avenue to do it. And as soon as we know what our situation is coming out of that base rate case, we'll know what we need to file for, and we'll be going in right away.
Operator: The next question comes from the line of Ryan Levine with Citi.
Ryan Levine: Regarding the 30% CapEx upside in the prepared comments, what regions in PJM are you seeing the majority of the investment opportunity? And is there any cost inflation associated with the labor or equipment that is a component of that 30%?
Brian Tierney: Yes. I'd say most of that 30% is really associated with incremental work rather than inflationary proceeds -- impacts. And it's across the system in terms of where we're investing. It's in all five of our states, and I'd say fairly evenly distributed in those five as well. So -- it's broad-based. It's that reliability type investment. It's the regulatory required. It's the new customer hookups. It's the open windows. It's really broad-based, but it's incremental work that's driving that 30% increase.
Ryan Levine: Okay. And then in terms of the load forecast embedded in your planning, do you have a lot of confidence in the visibility of those forecasts in light of some of the FERC and other PUC recent commentary on that front?
Brian Tierney: We do, Ryan. So as we're looking at the planning period, the next 5-year period. A lot of that is associated with what is contracted, not necessarily in the pipeline. So we have pretty good visibility into what the load forecast is going to be in that time frame. When you get out a little bit farther is when you're starting to look at the significant increases that we talked about with data center load and up to the 15 gigawatts. As we're looking at those load increases, we're looking at things, various criteria, like does the developer own and control the land? Do they have building permits? Do they have development plans? Do they publicly announced what the project is going to be, who the customer is, all those things. We look at those factors to get a comfort level in is the customer actually going to show up and does it make sense to put them in the pipeline? And it's that level of confidence that we have in that 15 gigawatts that we're talking about in the next 10 years.
Operator: The next question comes from the line of Ross Fowler with Bank of America.
Ross Fowler: Just maybe circling back to West Virginia. This is going to be a self-build. I think that's what you said on the call, if I caught it correctly. So as you file for CWIP and you go through that, how are you thinking about the supply chain connected to that 1.2 gigawatts? Do you have a turbine in the queue? Do you have a queue position? And kind of what are you seeing for pricing there? Because I know the turbine prices have increased over time.
Brian Tierney: Yes. So that's all factored into what we've forecasted in the IRP, assuming it's going to be about $2.5 billion. And we haven't made a determination yet as to whether or not it's going to be build-own-transfer or self-build. We're going out with an RFP for the build-own transfer, and we'll see what that brings in. But we're also seeing things come in a little bit. So we're not seeing that 4- to 5-year that people have been talking about. We're seeing more of the 3- to 4-year lead time on major equipment. But the pricing remains pretty strong on that. We've not secured a space yet, but we think that we'll be able to do that given the regulatory framework that we have for getting approvals and getting the facility up and running in the 2031 time frame.
Ross Fowler: And then -- and Jon, as you kind of talked about rate case cadence, you talked about sort of New Jersey. I mean, obviously, Ohio is coming very soon as soon as practicable, but New Jersey might be next in that cadence as you wind through it. How are you thinking about sort of the affordability pressures in that state? Obviously, it's been an issue in the governor's race. Is it well understood from your perspective in that state that most of that is coming from the generation portion of the bill or kind of contextualize that for us a little bit?
Brian Tierney: We think that's well understood that generation is really what's driving so much of that increase. At the end of the day, as a political issue, though, that doesn't much matter. People see their bills going up and are concerned about that. And we're trying to do everything we can in our power to keep those bills as low as possible for the portions that we control. And so we're being very thoughtful about how we're spending our O&M. We're advocating on behalf of our customers to stop the madness that is these PJM capacity auctions right now, which are paying for new generation that's just not showing up, and we don't think it's appropriate that our customers bear that kind of burden. So we're doing everything we can to try and mitigate the impact of the higher generation costs, but we think it's well understood that that's where the increases in those rates are coming from.
Operator: The next question comes from the line of Steven Fleishman with Wolfe Research.
Steven Fleishman: Just a quick follow-up on the transmission upside, the 18% rate base growth. When we're going to get these open window outcomes and such over the next few months or start seeing them, should we assume those are embedded in there already? Or would those be upside to that? Or how should we think about as we see these announcements?
Brian Tierney: Steve, we put a very modest amount in there, but it's our practice to not put things in the plan until we have the approvals that are needed from PJM. But in this case, we put a very modest amount in there.
K. Taylor: Yes. And I would say, as I mentioned in my prepared remarks, the portfolio is what we call resilient. So we have hundreds and hundreds of projects that we can fill in as needed, all needed for reliability purposes. So depending on how things shake out with the open window, which, quite frankly, we feel really good about the solutions that we submitted in the open window process, our track record, where the congestion constraints are, and we feel really good about our prospects there. But to the extent that anything varies from our plan, we have a resilient portfolio.
Steven Fleishman: Okay. And then just to clarify that answer because there's the plan right now, then there's the upside plan or the next plan we're going to get. So when you made your comments, Brian, is that relative to the next plan or the current plan, I guess.
Brian Tierney: That makes sense. The 30% increase that we talked about, there is a very modest amount from the pending PJM open window that's in there. So if we get significant incremental awards from that, we'll be refreshing that plan.
Operator: The next question comes from the line of Andrew Weisel with Scotiabank.
Andrew Weisel: First, a question on the CapEx update, and this is sort of a high-level question, but you're talking about very meaningful upside to the transmission CapEx. The West Virginia IRP is calling for a lot of spending there, plus you have the Ohio rate case. My question is, when we look at the update coming in a few months, are you expecting to reallocate some spending away from the other segments and businesses? Or do you think the balance sheet and the labor force could handle what might be a pretty sizable increase for the plan overall? I don't know if the whole $28 billion plan is going to go up by 30%, maybe it will. But how do you think about limiting factors for the upcoming increase?
Brian Tierney: Yes. We don't see taking from one jurisdiction at this point and giving to another. We see increases across the jurisdictions. But Andrew, we've already factored in the needs of the various jurisdictions, the opportunities in the various jurisdictions. And to be honest with you, they're all different. And that's why we put in place the management structure that we have with the presidents, five presidents overseeing those five properties that we own so that they're very thoughtful about what's going in. Do we need energy efficiency in one jurisdiction that we don't need in another. Just things like that so that our CapEx plan is very, very tightly tailored to each of the jurisdictions that we serve, and that's what goes into how we put our plan together. We're not -- we don't view the plans that we're talking about, the West Virginia and the incremental transmission is taking away from another jurisdiction, but we view that as all expansive across our five jurisdictions.
Andrew Weisel: Okay. Great. And then I think on the industrial load, Jon, you made a comment about that accelerating in the fourth quarter and into next year. I think you said that was specific to some data center customers ramping up. Can you speak more broadly? I think I may have asked you this on prior calls as well, but it sounds like generally flattish for the industrial customers. Maybe you can talk about trends in the outlook outside of the specific data center ramping.
K. Taylor: Yes. I think we -- yes, we are starting to see a little bit of rebound in fabricated metals and steel manufacturing. So that has been kind of a headwind for us over the past few quarters. We're starting to see that come back a little bit. But I think as we move into the fourth quarter and especially into next year, you'll start to see meaningful increases in industrial load, mainly from data centers. And I'm talking like mid-single digits by the time we get to maybe Q2 to maybe even higher than that, significantly higher than that by the time we get to the fourth quarter of next year.
Operator: The next question comes from the line of Sophie Karp with KeyBanc Capital Markets.
Sophie Karp: How do you envision a response on the state level from policymakers to these rising consumer energy costs?
Brian Tierney: I think people are concerned about it, as are we, and that's why we're engaging with regulators, legislators, and others to both, a, point out what is causing the increase and, b, trying to work with them on mitigating those increases and what are things that we think makes sense for our customers. And so again, we are not advocates of continuing this madness of the PJM capacity auctions that are paying people for new capacity that they're not getting and look for other mechanisms like a 2-tiered structure, one that would pay existing capacity one price and have another structure that would attract incremental capacity and any other ways that we can attract new capacity and have customers actually get what it is they're paying for. But we're concerned about increases in customer bills and again, making sure that customers get what it is they're paying for and with the capacity auctions, that's not happening.
Sophie Karp: And do you think there's enough, I guess, momentum behind these efforts now for them to come up in the next legislative sessions?
Brian Tierney: Yes. I think there's certainly a lot of attention being paid to it across all of our unregulated jurisdictions. And so yes, I think we'll see people starting to take notice, have plans for mitigation and start enacting those in the near term.
Operator: The next question comes from the line of Anthony Crowdell with Mizuho Securities.
Anthony Crowdell: I just wanted to -- and I apologize, I just may have not understood it. A response to Carly's question and a response to Steve's question. On Carly's question, and when I think you were talking about CapEx, it seemed that you were more looking at these additional projects are going to strengthen and lengthen the current 6% to 8% plan. And again, I don't want to front-run your fourth quarter call. But then on Steve's question, I think you talked about your current plan is very modest with very little of this additional CapEx in there, leading that there's actually potential for a big change in that growth rate. I wonder if you could help me connect the two dots there.
Brian Tierney: Yes. So thank you for the question, Anthony, if there was any confusion around this. This increase in CapEx that we're talking about gives us extreme confidence in the 6% to 8% earnings per share growth range. So we would like to be in the upper end of that, but we're not at a point today where we are going to change that growth rate. But it gives us considerably more confidence to be in the upper part of that range. So in response to Steve's question, the increase that we're talking about is in the 6% to 8% growth. The specific part that I was talking about with Steve was the PJM transmission open window component that's pending. We have a very modest amount for that, that we think that we will be awarded. If it's higher than that, that will be incremental to the plan. But in any event, we don't see us changing the earnings per share growth rate that we've guided to, but the CapEx plan that we talked about and the increase in it gives us confidence to be in that range and targeting the upper end of that range. Does that answer the question?
Anthony Crowdell: Yes. So if you're better than your plan in the PJM open window, there's more of a bias towards the upper end of the range of the 6%. Is that fair?
Brian Tierney: No, no, no. Let me -- again, I don't want you to put words in my mouth. The existing plan and the increase that we're talking about is in the plan and gives us the confidence to be in the upper end of that range. If we get something more than what we talked about in the open window, we'll factor that into the plan, and we don't expect us to take it out of the plan, but we're already expecting to be confidently in the 6% to 8% range, and we're targeting the upper half of it, regardless of what happens with the PJM open window.
Anthony Crowdell: Great. Got it. And then just one housekeeping item. On large load tariffs, are you guys -- I just apologize, I'm not familiar with every state you're operating in. But are you guys applying for large load tariffs? Or are they all in place as this growth is hitting the PJM service territory?
Brian Tierney: Yes. So we don't see the need for them the way our tariffs work. We think that we can enter into terms and conditions that make the data center developers responsible for the incremental investment that we're making and protect our existing customers. So we see others doing that, and they may not have the flexibility that we do in our existing tariffs and contract structures. And it's not something that we see the need for today. If that changes going forward, we'll evaluate that and make changes at the time.
Operator: This concludes the Q&A session. I'd like to turn the call back over to Brian Tierney for closing remarks.
Brian Tierney: Great. Thank you all for joining us today, and thank you for your interest in FirstEnergy. We look forward to seeing many of you at the EEI conference in a few weeks, and we hope you have a safe and enjoyable rest of your week. Take care.
Operator: This concludes today's conference. You may disconnect your lines at this time. We thank you for your participation.